Operator: Greetings. Welcome to the Vitesse Energy First Quarter 2024 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Ben Messier, Director, Investor Relations and Business Development. Thank you. You may begin. 
Ben Messier: Good morning, and thank you for joining. Today we will be discussing our financial and operating results for the first quarter of 2024, which we released yesterday after market close. You can access our earnings release and presentation in the Investor Relations section of our website. We will file our Form 10-Q within the upcoming days. I'm joined here this morning by Vitesse's Chairman and CEO, Bob Gerrity; our President, Brian Cree; and our CFO, Jimmy Henderson. Our agenda for today's call is as follows. Bob will provide some opening remarks on the quarter. After Bob, Brian will give you an operations update, including some additional information on the recently announced near-term development acquisitions. Then Jimmy will review our first quarter financial results and updated production and CapEx guidance. After the conclusion of our prepared remarks, the executive team will be available to answer any questions. Before we begin, let's cover our safe harbor language. Please be advised that our remarks today, including the answers to your questions, may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to the risks and uncertainties, some of which are beyond our control that could cause actual results to be materially different from the expectations contemplated by these forward-looking statements. Those risks include, among others, matters that we have described in our earnings release and periodic filings. We disclaim any obligation to update these forward-looking statements, except as may be required by applicable securities laws. During our conference call, we may discuss certain non-GAAP financial measures, including adjusted net income, net debt, adjusted EBITDA, net debt to adjusted EBITDA ratio, and free cash flow. Reconciliations of these measures to the closest GAAP measures can be found in the earnings release that we issued yesterday. Now I'll turn the call over to our Chairman and CEO, Bob Gerrity. 
Robert Gerrity: Thank you, Ben. Good morning, everyone, and thanks for your participating in today's first quarter 2024 earnings call. Management at Vitesse is committed to the dividend as a vehicle to return capital to our stockholders. To sustain this return of capital strategy, we must have a very economic return on capital invested. We continue to spend capital in a dividend supportive manner, which led us to raise production and CapEx guidance for 2024. We are sharing the fruits of this labor with our stockholders by increasing our second quarter fixed cash dividend to $0.525 per share to be paid in June, an increase of 5% over the first quarter dividend. This is really a harvest of the really economic deals we have done starting in the second half of last year and continuing into this year. We continue to look at near-term development deals and larger asset acquisitions that would bolster our dividend. So far this year, deal flow has been healthy. As Brian will describe, we have agreed to acquire additional self-sourced highly economic interest that will allow us to invest over $40 million of CapEx incremental to our original projection. When we find these highly economic acquisitions, we will take them down. We do not have a fixed budget, it's all opportunistic. We will continue to pursue all of these opportunities as -- that meet our strict economic parameters. Before I turn it over to Brian, I just want to compliment everyone on our team at Vitesse. We are all rowing the boat in harmony. We bust our ass every day to allocate capital in a way that supports our dividend, which is really the dividend belongs to our shareholders. So with that, I'll turn it over to our President, business partner, Brian Cree. 
Brian Cree: Thanks, Bob, and good morning to everyone, and thanks for participating on today's call. In the first quarter, we had production of 12,557 barrels of oil equivalent per day. As previously mentioned in our February earnings call, production was negatively impacted by the severe weather event in North Dakota in January, as many of the wells were offline for more than a week. Despite this event, we are increasing our 2024 production and CapEx guidance as a result of the additional acquisition activity that Bob mentioned. We continue to find highly economic opportunities to invest capital through our acquisition pipeline that we have developed over the past 10-plus years. The majority of these near-term development acquisitions are more traditional in nature than those closed during the second half of 2023. Thus the drilling and completion activity will occur over the summer and fall with production not likely until the fourth quarter and into 2025. As of March 31, we had 5.9 net wells that were either drilling or in the completing phase and another 10.6 net wells that have been permitted for development by our operators. Through the first 4 months of 2024, we've experienced an increase in planned development on our existing assets in addition to the recent near-term development acquisition activity. We're excited about these trends, which are expected to enhance our return on capital invested over the course of this year and into next. Our oil differential in the first quarter was greater than it has been historically, which we expect to improve as the Trans Mountain pipeline expansion comes online in Canada, reported to have occurred earlier this month. We have continued to add oil hedges during the year, and we now have swaps in place through the end of 2025. At the midpoint of our revised guidance for 2024, we have approximately 60% of our remaining oil production hedged at above $78 per barrel and a portion of our 2025 oil production hedged at above $74 a barrel. Thanks for your time. Now I'll turn it over to our CFO, Jimmy Henderson, to review our financial highlights. 
James Henderson: Thanks, Brian and Bob. I appreciate the introduction. Good morning, everyone. I wanted to highlight a few financial results from the first quarter. And as always, I'll assume you can refer to our earnings release and our upcoming 10-Q for further details. As Brian mentioned, our production for the quarter was approximately 12,500 BOE per day for the 71% oil cut. Our production was affected by extreme winter conditions in January, but thanks to the great work by our operators, we quickly recovered. Just can't say enough about the men and women out there that are getting the job done day in and day out in North Dakota. Lease operating expenses were also negatively impacted by the severe weather event in addition to continued elevated workover expense coming in at $11.8 million for the quarter or $10.32 per BOE. For the quarter, adjusted EBITDA was $39.1 million and adjusted net income was $10.2 million. GAAP net income was a loss of $2.2 million with that difference being primarily attributable to the unrealized noncash hedging loss due to the increase in oil prices in the quarter. Cash CapEx and acquisition costs for the quarter were $32.2 million, which included costs paid related to acquisitions made earlier in 2023. As a reminder, our CapEx can be variable from quarter-to-quarter depending on activity levels and acquisition opportunities. During the first quarter, 332,840 shares of Vitesse's common stock were retired after being exchanged for $6.9 million of tax withholding relating to vesting of restricted stock units. This transaction occurred at a price of $20.85, which is about 8% below our current stock price that we -- yesterday's stock price. While this effectively functions as a share buyback, it does not decrease our repurchasing power under our $60 million share buyback authorization. We funded first quarter CapEx and the share retirement with operating cash flows and draws on the credit facility. Debt at the end of the quarter was $98 million, resulting in a leverage ratio of just 0.6x on a trailing 12-month EBITDA basis. The elected commitments on our credit facility currently stand at $210 million, but we expect them to increase to $245 million when we complete our semiannual redetermination in the next couple of weeks. As previously mentioned, we are increasing our original 2024 annual guidance due to the recently acquired or agreed to be acquired near-term development assets in North Dakota. These acquisitions are anticipated to result in over $40 million of incremental capital expenditures and are expected to provide material increases to production and cash flows, primarily late 2024 and end of 2025. Our expected production for 2024 now ranges from 13,000 to 14,000 BOE per day with a 67% to 71% oil cut, and we have increased our 2024 capital expenditures guidance range, which now stands at $130 million to $150 million. Please note that our oil and natural gas production as well as our CapEx varies from quarter-to-quarter based on new wells coming online and other operational matters that happen. Commensurate with this increased activity, the Board has approved an increase in our dividend to $0.525 per share, which demonstrates our confidence in accretive nature of these investments. With that, let me turn the call over to the operator for Q&A. 
Operator: [Operator Instructions] Our first questions come from the line of John White with ROTH Capital Partners. 
John White: Could we get a little more detail on the acquisitions? Like what counties are they predominantly located? How much existing production is being acquired? And any comments on the undrilled inventory? 
Brian Cree: Absolutely, John. This is Brian. I'll take a first crack at that and let anyone add in if they want. But these are different than what we did last fall. Last fall, many of the acquisitions that we completed were more very, very developed in terms of the timing of when those wells were going to come online. There were wells that were duck at the time or were just shortly ready to come on. These are more kind of traditional in nature. They span the entire basin, some in Williams, McKenzie but they're with operators that we have a lot of confidence in. But these are wells that are going to get drilled over the summer and the fall. And so there's really no production coming with these, unlike the last time where we had a lot of wells that were just about ready to start producing. These will start producing kind of like I said, fall, sometime into the fourth quarter. And so they're a little bit different in nature than what we did last year, but very economic from our standpoint, again, with some of our favorite operators in areas of the field that we have a lot of confidence in. They are higher working interest wells. Typically, our average working interest is in that 3% if you look at our entire portfolio. These are working interests that are north of 20%. And so there are deals that we've been working for a long time and just luckily, they came together in April, and we're able to move forward with them. 
John White: And Bob used the term sales source. Does that mean this was not a bid situation? 
Brian Cree: Yes. The operators will come out to several different companies. These were not like investment banking bid processes or anything else. So these are -- this is just kind of part of our pipeline. We've been doing this for, like I said, over 10 years. We've developed relationships with all the different operators and sellers of this and it is a process where we have to put in an offer. So, unlike maybe the deal we did last year with Marathon, where it was more negotiated. But these are still deals that have very few eyes on them from the operators. They send them out to their kind of their favorite potential buyers, and we go from there. 
John White: And net acreage involved? 
Brian Cree: Most of these are wellbore deals. So there's not really much additional new acreage. This is all wells that are really wellbore AFEs that are, again, being drilled over the course of the summer. 
Operator: Our next questions come from the line of Michael Schwartz with Jefferies. 
Michael Schwartz: Congrats on the acquisition. My first question is, given that these wells are going to be killing at the end of the year, how should we be thinking about production CapEx in 2025? 
James Henderson: Yes. Little early, Mike, we'll be thinking about giving any guidance of any sort for 2025. But clearly, we're confident to tell with increasing the dividend that will increase production and cash flow as we exit '24 and into '25. And so I think you should see we're pretty happy with the change year-over-year. But we don't want to get too far ahead of ourselves, but we think we can -- although it's not our objective necessarily, I think you will see some production growth as we go into next year. And then if you think about CapEx, sort of returning to a maintenance mode as we go into 2025. 
Michael Schwartz: Makes sense. I completely understand that it's early. So I just also wanted to ask about the decision to raise the dividend. From your comments, it sounds like it's tied to kind of deals and this kind of growth you're seeing. What do we need to see to grow the dividend further? Is there are kind of any metrics that we should be thinking about after that? 
Robert Gerrity: Well, it's really a function of the economics of our drilling. We're capital allocators. And when we can allocate capital in a way that gives us a very high rate of return, well, we're going to return that money to the shareholders. So that can happen in a lot of different ways. If we continue to find the deals we're finding in the last 9 months, that's very constructive to the dividend. Obviously, we hedged those acquisitions to the degree that we can. And stable oil price will certainly be supportive to the dividend. But Michael, this is what we look for. And so the calculus of this is very dense. Ben, you want to add something to that? 
Ben Messier: Yes, we like to think about our dividend coverage in a flat production environment, really. So when we set this dividend level, we're thinking about sort of the maintenance mode CapEx level of, call it, $90 million, the whole production flat in the mid- to high 13 MBOE per day range. So, if you look at our business model in that environment, we're generating more than enough operating cash flow at current commodity prices, the current -- to conservatively cover the dividend and the maintenance CapEx. And so we look at that, and we feel really good about where we are from a dividend standpoint. And then as Bob said, we've been lucky enough to find really attractive acquisitions since we've spun off. That did have allowed us to grow production more than maybe we originally thought we could, and we're happy to draw our RBL to fund those. We're still 0.6x levered. We have -- we're 40% drawn on our revolving credit facility. So a ton of capacity there to drive growth in these really attractive rates of return. And it obviously comes with the short-term hit of more CapEx, but that's to the benefit of longer-term production and free cash flow growth. And so we're not as concerned about the optics of looking like we're covering the dividend in the short term because we know that having more free cash flow over the next 30 years is in the end, that's sort of the dividend. So that's some of the calculus that goes into how we set it and when we raise it really. 
Operator: Our next questions come from the line of Stephen Richardson with Evercore ISI. 
Stephen Richardson: I was wondering if you could talk a little bit -- I appreciate the comments in the prepared remarks about the in-process wells and permitted wells. If you could talk a little bit about what you're seeing in terms of operator activity on your lands, particularly relative to how you guided earlier in the year and how things are playing out, just acknowledging that you had weather impacts in Q1. But could you just talk about what you're seeing from the operators at this point? 
Brian Cree: Sure, Stephen. This is Brian. We kind of mentioned -- I've made a quick comment on it is that we're seeing a little bit of accelerated activity on our asset. Typically, we think about $40 million to $50 million a year of kind of organic CapEx. That's what we've talked about in the past. It's early in the year still, but we're actually seeing an accelerated pace. We've received more AFEs in the first 4 months of the year that puts us on a pace for -- to exceed that $40 million to $50 million. So we like that. We've seen more 3-mile laterals. Clearly, the operators are moving toward the 3-mile laterals whenever they can. So we've seen more of that in terms of our development. We've seen quite a few refracs this year, probably on a pace that exceeds what we saw in 2023 and closer to where we were in 2022. So we're excited about that. We think the operators continue to look at that refrac activity. But yes, it's -- we've seen an accelerated pace that we're not sure that that will continue. We're excited about it at this point in time. We think the 3-mile laterals, we know the operators are all very excited about the 3-mile laterals. We have confidence in their ability to pull those together and see those as being more economic than the 2-mile. Time will tell exactly how those play out. But the combination of all of that just gives us a higher level of excitement about 2024 than we had at the beginning of the year. 
Stephen Richardson: Maybe, Brian, I've got you as well on the acquisitions, could you appreciate that the activity on these well bores is going to be in the back part of the year? One, based on your risking and I appreciate that you don't have full visibility. But as you looked at it, is -- will you have production contribution from all these wellbores by year-end? Like will it be in the exit rate or is it -- does it trickle into Q1, Q2 of next year as you kind of looked at it and risked it? 
Brian Cree: Based on our underwriting, Stephen, we definitely expect all of these wells to be on at some point in time in the fourth quarter. But as you know, it's just -- it's hard to tell for sure. That's how we've modeled them. We modeled things last fall when we made those acquisitions with the production coming on a little slower. So I think we do a pretty good job in our underwriting in terms of estimating timing. But as Jimmy mentioned, it's not in our control. It is in the control of the operators. But again, these are operators that we have confidence in, and I think they'll meet our timelines. 
Stephen Richardson: Last one for me, if I could squeeze it in with just following up on Ben's previous comment on kind of thinking about the financial resources of the company in terms of -- and the reinvestment opportunity set. So, if you think about that levered. Can you just remind us where you're happy, where you're comfortable taking that considering depending on how you look at it, this is probably a little bit above kind of mid-cycle oil price, but at least for most investors. So like where are you willing to take that considering if the opportunity set continues to present itself? 
James Henderson: Yes, I'll jump in here. This is Jimmy. Yes, I think we've always said that we're going to remain under -- certainly under 1x levered. And I think we're confident that we'll remain there with these opportunities, the ability to further invest. I don't really see much increase from where we're at today as we're getting contribution from the acquisitions that we did late last year for the remainder of the year and then these acquisitions kick in. So I think we're in a really comfortable position from a leverage standpoint and a liquidity standpoint given really within our current resources. 
Operator: Our next questions come from the line of Jeff Grampp with Alliance Global Partners. 
Jeffrey Grampp: I was curious with the near-term development acquisition market, obviously, really active here so far. Is that just a function of those being higher working interest if you guys were to look at it may be on a, I don't know, gross deal basis, are things pretty consistent? Or how might you guys characterize kind of current market dynamics versus, say, 2023 or whatever reference period you'd like? 
Brian Cree: Yes, Jeff, this is Brian. I'll jump in again. The market remains very robust at this point in time. We see a lot of deals. We still evaluate a lot of deals. As we said in the past, our hit rate is probably 10% for these. But I think for us, when you look at those higher working interest opportunities, we've had a little more success there. There's probably a lot less competition when you're talking about those kind of dollars versus those in the $1 million or $2 million deal range, smaller working interest. So yes, we've tried to take advantage of that. And again, it's always very lumpy, right? I mean we see a lot of deals in the first quarter, we bid on a lot of things and nothing really came to fruition. And then all of a sudden, some things come together. So, it's just -- it's a timeline that we have to work through these, working with the various operators, the various sellers to make sure that we really understand what's going on and bid these at -- that the hurdle rates that we find very attractive. The one thing I will say is, just to add to your question is, while that pipeline is really good, when oil prices get higher from our standpoint, it actually makes it a little more difficult to close some of these because I think others will get a little more optimistic. We typically will underwrite these at a price deck that is below strip. And so when prices get a little higher, it becomes a little more difficult for us. So really that $70 to $75 range seems to be a great range for us where kind of our underwriting does very well on against the competition. 
Jeffrey Grampp: And maybe a question for Jimmy. Hedges bumped up nicely, especially first part of '25. Should we expect more volumes there, perhaps as these new acquisitions come online? Or how are you guys thinking about the hedge book here, especially in the context of the increased dividend? 
James Henderson: Yes, definitely. Obviously, hedging is a key component of our dividend decision-making and protecting the cash flow so that we can continue to make these investments going forward. So yes, you'll definitely see volumes added to 2025 as we move forward. We have a couple of things working against us, obviously, the backwardation of the market. So we've got to be patient and kind of let that wave move forward. At the same time, we're only allowed to hedge a certain percentage under our credit agreement. So as we move forward in time, we are able to continue to fill that bucket. So we've tried to methodically push ahead on hedging. And these acquisitions as they come online add to that PDP level so that we can enter into transactions to support those. So we always try to have a little bit of room versus our limits so that we can support acquisitions as we do them, but somewhat limited until we do that, but we can push it as far as we can. 
Operator: Our next questions come from the line of Jeff Robertson with Water Tower Research. 
Jeffrey Robertson: Bob or Brian, a question on Luminis. Are you able to adapt that system as you see consolidation in the basin and assets change hands from one operator to another to help you identify acquisition opportunities to target? 
Robert Gerrity: Absolutely, Jeff. Luminis gets more vibrant every day. Everybody has a relationship to Luminis. And some -- we're developing some AI capacity. Everybody does AI or we can do it with Luminis as well. And it's amazing the amount of information you can get when you've got over 15,000 wells loaded into your system. So we do rely on Luminis. Everybody enjoys it. And it just, we call it democratizes, is that everybody in the organization, whether they're revenue clerk, whether they're a land man, engineer or in the finance department, learns from Luminis every day. And it's a great question. We're thrilled with it. We had a 1.5 hours meeting yesterday about other developments that we're looking forward to with Luminis. So it's an important part of our company, and it gets better and develops every day. 
Jeffrey Robertson: And does the ability to understand not only your asset base, but what's going on in the basin and where opportunities lie, does that factor into the decision to raise the dividend in the context of understanding what Vitesse's runway is? 
James Henderson: Yes, I'd say that the dividend decision is an output, I guess, from what goes in to Luminis. So Luminis certainly, as Bob spoke, allows us to analyze these opportunities and make smart investments, which, of course, drives the ability to increase the dividend. So, kind of an indirect output to that, but certainly it's supportive. 
Operator: Our next questions come from the line of Donovan Schafer with Northland Capital Markets. 
Donovan Schafer: So my first question is just if we can get an update on kind of the original deeper denser expanded thesis that I know you guys had when you created this company to kind of repeat what it's been done before in the DJ Basin. But also, if we can connect, I guess, maybe answer that sort of separately, if it's a separate thing or if the opportunity presents itself, does this tie in with the $40 million CapEx increase? Are there things you can point to where some of these specific opportunities themselves tied to either tighter infill drilling or maybe with a 3-mile lateral, it allows you to step out a little bit further. I know you guys are probably not taking risks on totally virgin step out, but maybe infill drilling while that have been derisked because of more recent successful step-outs or things along those lines. Just anything, just the general update and then if it actually is in a sort of highlighted or demonstrated with these opportunities? 
Robert Gerrity: Yes. Donovan, this is Bob. The deeper denser cheaper better expanded concept that we had was really just about the field over the course of time becoming more economic. We saw that in the DJ, and we're seeing it in hyper speed in the Bakken. It just seems that every well that's being drilled is more economic than its offset well simply because technology improves every day. And so this is really -- when we look at the Bakken, we look at the Bakken through the lens of technology. And it's amazing what has happened out in the field. Of course, technology unless it's at a cost-efficient basis, it's meaningless. And the cost in the field have certainly stabilized, if not gone down a little bit. But you're right, the field has expanded and we're getting Tier 1 economics on a map that not that many years ago was considered Tier 3. So we love the position we have in the Bakken. It does get better every day, and we're excited to find out what's next. 
Donovan Schafer: And then as another question, so I know I'm kind of putting Jimmy on the spot here. So, well -- or I may -- I should almost in a perfect situation had have him to leave the room or something. But he joined a few quarters -- I know. It's a bit odd but he joined a few quarters back, and I did make a point of going to like sort of his LinkedIn profile and his bio from other companies he's been involved in and Jim's experience not to shoot his horn, but it was very relevant, and I thought it was quite impressive. And particularly, there was a strong focus in the Bakken and also sort of the Rockies generally, probably a pretty thick [ Rolodex ] there as well. And so I'm just kind of curious if we can get an update like is -- I think when Jimmy first joined I thought he was -- maybe this means there's going to be some amazing, incredible package or something that gets put together. And a deal is only -- you don't do deals for their own sake, right? So instead, we've gotten the sort of acceleration of these near-term drilling development program opportunities. And so I'm just kind of -- has Jimmy been an important part of like making the decision of, okay, we're going to focus a bit there instead of -- yes, kind of maybe what John White was hinting at with large acreage emissions, kind of, gaming it out and working that Rolodex and getting the higher working interest. Anything, Jimmy, you could speak to it, but I'd also just be more interested broadly from the other guys, a sense of the role and how that ties in. 
Robert Gerrity: Yes. You nailed it, Donovan. Bringing Jimmy on was a win in every way for Vitesse. Jimmy's experience is unparalleled. And just having that knowledge and scar tissue to understand what works and what doesn't work, it's invaluable. You don't learn it in a book. You just learn it by the hard knocks of experience. Jimmy was a perfect fit for Brian and I. He came in and it was as if we were partners for a long time. You can call him the accelerator. And I think it is fair to give Jimmy a lot of credit for us being able to source additional deals. So Jimmy, are you sweating yet orâ€¦ 
James Henderson: Okay. Enough of that. I'd like to -- as much as I would like to take credit for the ability to do what we've done so far in the last few months, it is really a testament to the team that has been assembled here and as well as things we've talked about, Luminis and it's really a culmination of all those things that has been developed over the years of existence for this company. And I really appreciate all the comments, but I'm just here to be able to take advantage of what's already been built and keep it moving forward. But I really appreciate the thoughts. 
Donovan Schafer: Okay. And of course, you guys -- if you have anything really negative to say, you can just call and tell me later. I'll find [indiscernible]. But -- so then just my one last question is just with the dividend and sort of stress testing that. I have to imagine even presenting it to the Board, for example, to get their approval on raising the dividend. I would assume you do some kind of stress testing, but if you can just kind of confirm that and maybe what type of parameters, how -- you've got a lot of hedging in place for the next year. So do you say assuming a $60 oil, how long can we -- how many years or months or what are kind of some of the parameters that you've done just to stress test and backstop that? 
James Henderson: Yes, Donovan, this is Jimmy. I can take first and let the you guys jump in. But yes, certainly, I mean, the strip itself kind of provides a pretty good litmus test the way that it's fabricated and we look at can we maintain this coverage ratio for the dividend, even with that backwardation. And what would happen if we go further than that and knowing that there's a lot of things you have to adjust in the model in a lower-for-longer type scenario, costs tend to go down, et cetera. So we do get confidence. We're able to maintain the level of dividend in most scenarios, and then we can make adjustments to support as best we can for a period of time. So yes, we definitely run multiple scenarios and probably like most oil and gas companies kind of a flat -- flattish price that we are a little more confident in the amount of strip and then something that we're even in that. Brian, you can step in. You've done a lot more than I have. 
Robert Gerrity: Yes, this is Bob. I'll just have a brief comment. And the dividend and is very -- obviously, it's what we live for. It's important to understand, and we've seen it, when the price of oil goes down, activity goes down. So when activity goes down, our CapEx goes down. So that -- you can't just fix -- when you're doing the stress test, you just can't fix everything. You have to realize that if the price of oil goes down to 50, the activity level will go down accordingly. So the key measure for us is what Ben said earlier is that our maintenance CapEx is around $90 million. So that is a real critical number for us. So above that is where we become additional capital allocators. Our rate of return of that maintenance CapEx is the highest we've got. So for us to spend more money than $90 million a year, it's going to have to be very, very attractive. So we think about it all the time, Donovan. Brian, would you add? 
Brian Cree: The only thing that I would really add here, Donovan, is again, that's one of the reasons that Vitesse has always tried to keep that leverage, right? I mean, it's just -- it provides us some flexibility. Not that we want to use debt to pay the dividend but if oil prices were to decline on a short-term basis, we feel like that extra capacity there to allow us to keep that fixed dividend, it's something that we're -- that obviously is very important to us. We've talked about it a lot. And -- but look, if oil prices went down for a long period of time, we would have to adjust and look at everything. But clearly, that extra debt capacity is something that factors into our calculation. 
Operator: Our next questions come from the line of Noel Parks with Tuohy Brothers. 
Noel Parks: Just had a couple. I was interested when -- with the continued era of capital efficiency, there's a lot to recommend the non-operated model, just how diversified you are across many operators and so forth. And I'm wondering, have you seen any signs of any new entrance of other non-ops looking to get active in the Bakken or your other basins? 
Brian Cree: Yes. I mean we constantly see new family offices come in. There's been some transactions so far this year where there's been new entrance into the Bakken and there are some other operators that are looking to sell their assets. That, along with consolidation is something that's exciting to us. I mean, it's always good to see the consolidation in the basin, operators taking on the best of what each side has looked at. And so, from a pure non-op standpoint, there's always -- for smaller deals, we see a little more competition. But again, I think from what we've been able to accomplish so far this year, those larger deals, I don't think we've really seen any new entrance from the non-op space. 
Robert Gerrity: This is Bob. It's hard to buy your way into the Bakken. It's really tightly held and has been for 7 or 8 years. We could never reconstruct the 50-some-odd thousand acres we have. We bought it at a very low cost per acre. 
Noel Parks: That's a helpful consideration. And I'm just curious, as far as -- well, you described that a number of deals has sort of came together last month. And in terms of interacting with potential sellers, do they tend to be more price sensitive or are they more time-sensitive just looking to get these interests sold and just looking for sort of whatever price will meet their threshold? 
Brian Cree: Yes. I mean I think for the seller's price is always something that's important to them. But at the same time, I think they -- just the history most of them have had with us, they have trust that they can move forward with a transaction that we're going to look at it and that we're going to be able to close. And a lot of times, these guys will get AFEs in. They then have 30 days from which to make a decision, and they're trying to move these AFEs a lot of times within that 30 days. So having somebody to deal with that they have the confidence that can get it done, will close, that is not going to back out on them in the last minute. It's going to provide them a reasonable offer. I think that all plays into it. 
Operator: There are no further questions at this time. I would now like to hand the call back over to Bob Gerrity for closing remarks. 
Robert Gerrity: Thank you all for the time you've spent with us this morning. If you have any follow-up questions, Ben Messier does a great job of filling in the cracks here. So look forward to seeing everybody or talking to you in 3 months. Thank you. Bye-bye. 
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect at this time. Enjoy the rest of your day.